Nao Sinhteu: TensorMigs Entertainment Group's third quarter 2024 earnings conference call. I am Nao Sinhteu, Head of Investor Relations. We announced our quarterly financial results earlier today before the U.S. market opened. The earnings release is now available on our website and via newswire services. During today's call, you will hear from Mr. Cussion Pang, our Executive Chairman, and Mr. Ross Liang, our CEO, who will share an overview of our company's strategies and business updates. Then, Ms. Shirley Hu, our CFO, will discuss our financial results before we open the call for questions. Before we continue, I refer you to the safe harbor statement in our earnings release, which applies to this call as we may make forward-looking statements. Please note that we will discuss non-IFRS measures today, which are more thoroughly explained and reconciled to the most comparable measures reported under IFRS in our earnings release and filings with the SEC. All participants are muted at this time. After management's remarks, there will be a Q&A session. Please be advised that today's call is being recorded. With that, I will now turn the call over to Cussion, Executive Chairman of TME. Cussion, please.
Cussion Pang: Hello, everyone, and thank you for joining our call today. The start of the third quarter performance once again showcases our ability to deliver high-quality growth. Our five-star approach continues to drive our post-subscriber base. Online music services revenue grew by 20% year-over-year, contributing significantly to a 29% year-over-year increase in adjusted net profit. During the quarter, we prioritized different integrations across products, and the synergies between our dual engines of platform and content ecosystem have become a powerful force, enabling us to unlock more value for users. Let me give you some examples. First, our ongoing efforts to strengthen partnerships with domestic and international record labels have continued to bear fruit, enhancing our music offerings and diversifying our content. Recently, we renewed contracts with top Chinese labels like YH and the Signal Group, including early access for new song releases from popular artists such as Silence Wang and Wang Su Long. Additionally, we formed a strategic cooperation with Galaxy Corporation, home to the global music sensation G-Dragon, to bring more international music content, digital albums, and merchandise to our platform. Our scale and unique value proposition have enabled us to become the multiyear proprietary partner for G-Dragon's upcoming tour concerts in Asia and other regions. As our influence in the industry grows, an increasing number of record labels are working with us to launch innovative artist-fan interaction events focusing on new song releases, such as voice-based interactions, song guessing games, and music challenges. Second, we have been partnering with a list of artists and rising indie musicians to hold offline music experiences and concerts, connecting them with their fans in creative ways. Two recent events demonstrated our success in this space. In September, we hosted the TME SeaWorld Music Festival in Anhui, featuring a stellar lineup of artists, including Tencent musicians and other popular artists. This event attracted an impressive 65,000 fans over two days, earning widespread acclaim and impact. We also organized an offline concert for a talented singer and songwriter, marking his first-ever ticketed show with over 10,000 attendees. Third, leveraging Tencent's powerful network and ecosystem, we continue to nurture our music content community, inspiring interactive engagement. In the third quarter, we collaborated with celebrities Carrie Wang and Wang Junkai to produce theme songs titled "The Hero" and "Breaking News" for popular games like League of Legends, Wild Rift, and Peacekeeper Elite. These cross-promotions with Tencent Games, combined with in-game item redemptions, have led to impressive results. The popularity of these theme songs, which hit our top trending songs chart, has increased user engagement, effectively bridging the music and gaming communities across platforms. We recognize that different user cohorts have distinct usage consumption needs and preferences. To address this, we are actively expanding unique benefits to our premium members. For our super VIP members, we introduced priority access to exclusive digital albums from renowned artists such as Jodie Hsieh and Wang Yibo, with new additions of multiple K-pop singers in the third quarter. We also enhanced SVIP privileges to include unique concerts and fan activities, such as presales for tickets to shows by Jam Hsiao and Tia Ray. These enhanced features have effectively driven growth in our SVIP memberships, and we will continue to unlock new opportunities for both music labels and artists. Last but not least, we published our 2024 ESG report in the third quarter, providing a comprehensive overview of our ESG practices and achievements. This is just the beginning of our sustainability journey. I am also delighted to share that the Tencent Musician platform was recently recognized as one of China's first model cases for the national copyright powerhouse strategy, honoring our contributions to safeguarding music copyrights. This recognition will further motivate and propel us to promote the music industry's healthy and sustainable development. In summary, our sustainable and long-term approach to achieving high-quality growth will carry us far beyond what we have achieved so far. We remain dedicated to fostering a compassionate, inclusive, and thriving music ecosystem that benefits music labels, artists, users, and the broader industry. Now, I would like to turn the call over to Ross for more details on our platform development. Ross, please go ahead.
Ross Liang: Thank you, Cussion. Hello, everyone. Alongside our content and user insights, our years of operational expertise have been a key driver in strengthening our industry position and differentiating our value proposition in a dynamic environment. Our third quarter results once again demonstrated our ability to execute strategies that retain users, attract new paying subscribers, and upgrade more members to premium services. These results boil down to our commitment to innovation and our increasing ability to meet users' evolving consumption preferences. Let me start by sharing some progress on our product upgrades in the third quarter, which have been well received by our large user base. First, our deep understanding of users' needs enables us to further innovate our product features, bringing fresh experiences. For example, recently, we launched the industry's first player interface featuring a horizontal screen, as well as a real-time interactive comments feature, promoting a deeper sense of community belonging. We also upgraded the top trending songs chart with interactive features, attracting millions of participants, which has increased its influence. Second, we continue to explore new technologies to enhance users' experiences. For example, we have leveraged large language models to streamline content production, further improving both efficiency and quality. Notably, in the third quarter, we deployed AI technology to create a single that quickly went viral on short video platforms. Our text-to-speech (TTS) technology also helped us create tens of thousands of audiobooks on our platform, contributing to our efforts to expand our subscriber base. First, we optimized our operational and marketing efforts to drive new subscriber acquisition across various environments. For example, central to our mid-autumn festival event, we introduced new users to subscription benefits through unique interactive features. This has positively contributed to paying user growth. Second, we continue to improve our recommendation algorithm. One example is enhancing the novelty of tailored content suggestions, making it easier for users to discover music they like. Our recommendation streaming share increased sequentially in the third quarter, which in turn improved paying user conversion efficiency. Third, we collaborated with iconic IPs like Blackpink and Disney, allowing us to offer personalized interfaces that attract additional paying users. In terms of SVIP, our highly engaged subscribers, we are pleased to report that as of the end of the third quarter, we reached an important milestone by surpassing 10 million. The unique benefits of our SVIP plans are gaining traction, as shown by the higher ARPU and longer time spent on our platform compared to other tiers of paying users. Let me provide more details on this achievement. First, our proprietary high-definition audio quality features have enhanced the listening experience for SVIP members. QQ Music's streaming sound and DTS sound quality stood out as examples from this quarter, bringing clearer and more immersive audio to our users. Furthermore, we expanded our high-quality song experience to in-car scenarios with VIPER series audio quality designed for our SVIP membership during Xiaomi, BYD Auto, and NIO. Second, our enhanced long-form audio offerings have also had a positive impact on user willingness to renew their subscriptions. We expanded our audiobook content library with original content and popular IPs across various genres, including hit TV dramas, films, comics, and suspense stories. Third, these are just a few examples of the initial steps we are taking to grow our SVIP memberships. Coupled with the growing depth of our content ecosystem, as discussed, we have a solid foundation for delivering richer content benefits. Moving forward, we will continue to focus on post-unique content and product offerings, meeting the evolving needs of our users and delivering delightful music experiences. With that, I would like to turn the call over to Shirley, our CFO, for a deep dive into our financials.
Shirley Hu: Thank you, Ross, and greetings to everyone. I will now turn to our financial results. Our effective monetization of online music services and operational efficiency in management continue to drive strong financial results in the third quarter of 2024. With strong performance in our music subscription and advertising business, we are pleased to see our revenue growth resume its growth trajectory on a year-over-year basis. Our adjusted net profit increased by 35% year-over-year to RMB 1.7 billion, and our IFRS net profit rose by 29% year-over-year to RMB 1.9 billion. Total revenues in the third quarter of 2024 were RMB 7 billion, up by 7% year-over-year. Online music revenues increased by 20% year-over-year to RMB 5.5 billion. This increase was mainly driven by the strong expansion of our music subscription revenues, supplemented by growth in advertising revenues as well as growth in revenues from offline performances. Music subscription revenues in the third quarter of 2024 reached RMB 3.8 billion, representing a 20% increase year-over-year and a 3% rise sequentially. The ARPU was RMB 10.8, and the number of online music users was 119 million, representing a 16% increase year-over-year with quarterly net adds of 2 million users. With the goal of achieving growth in both subscribers and monthly ARPU, we have strategically focused on our SVIP membership program and enhanced membership benefits such as priority access to digital albums, presale for tickets to concerts and fan activities, and high-quality audio and sound effects for mobile and in-car users. These benefits and features have helped us reach an important milestone of surpassing 10 million SVIP members. Advertising revenues also had strong year-over-year growth, primarily due to the growth in ad-supported music revenues. We continue to innovate and diversify our product offerings and advertising formats. The attractive interactive features and enriched benefits we offered helped improve engagement rates for our ad-supported advertising and enhance user engagement and eCPM, attracting even more advertisers this quarter. Social entertainment services and other revenue were RMB 1.5 billion, down by 24% year-over-year. For social entertainment services, our top priority is safety in operation, and we will keep monitoring market conditions and the competitive landscape. Meanwhile, we continue to innovate and build new products and features to drive quality growth in areas such as live streaming, membership, advertising, and social talent. Our gross margin for the quarter reached 42.6%, representing an increase of 6.9 percentage points year-over-year due to a few factors. First, the expansion of our paying user base, the enhanced ARPU for online music, and the growth in advertising revenues have positively impacted our gross margin. Second, we have been focused on ROC as a key metric to manage our content and royalty costs. Third, the ramping up of our own content continues to help improve our gross margins. Lastly, the growth in SVIP memberships and advertising in social entertainment also positively impacted our gross margin. Moving on to operating expenses, in the third quarter of 2024, they amounted to RMB 1.2 billion, representing 17.4% of our total revenues, compared with 19.3% in the same period of last year. Selling and marketing expenses were RMB 420 million and remained relatively stable compared with the same period of last year. Our ROI-focused approach for promotion expenses, together with product improvements, have contributed to the growth in online music MAUs. We will continue to invest in areas with long-term growth potential, such as online music and content promotions. General and administrative expenses were RMB 998 million, up by 5% year-over-year, primarily driven by lower employee-related expenses. Our effective tax rate for Q3 was 17.7%, compared to 12.2% in the same period of 2023. This increase was primarily attributed to the approval of withholding taxes of RMB 130 million related to earnings to be remitted by our PRC subsidiaries to offshore entities. For Q3 2024, our net profit and net profit attributable to equity holders of the company were RMB 1.7 billion and RMB 1.6 billion, respectively. Our IFRS net profit and the IFRS net profit attributable to equity holders of the company were RMB 1.9 billion and RMB 1.8 billion, respectively. The financial results for Q3 2024 have reflected a net loss from foreign exchange due to the fluctuation of the exchange rate between RMB and USD. As of September 30, 2024, our diluted earnings per ADS this quarter was RMB 1.01, up 36% year-over-year. Our IFRS diluted earnings per ADS increased to RMB 1.16, up 30% year-over-year. These results underscore our robust financial performance, enhanced operating efficiencies, and the benefit from our share repurchase program. Under the share repurchase program announced in March 2023, as of September 30, 2024, we have repurchased 42.1 million ADS on the open market for a total cash consideration of USD 345 million, of which approximately USD 100 million was repurchased in the third quarter of 2024. As of September 30, 2024, our combined balance of cash, cash equivalents, term deposits, and short-term investments was RMB 36 billion, as compared with RMB 35 billion as of June 30, 2024. This combined balance was also affected by changes in the exchange rate of the RMB. Looking forward, we will continue to drive high-quality growth in our music business, such as expanding SVIP memberships and advertising business, as well as operational efficiencies improvement. We will also continue to invest in high-quality content, original content production, as well as innovative technologies to further improve user engagement and enhance user experience. We remain confident in the long-term healthy growth of the music industry and our business and are dedicated to providing high-quality returns for our shareholders. This concludes our prepared remarks. We are now ready to take your questions.
Operator: Thank you, Shirley. If you are dialing in by phone, please press five to ask a question, and then press six to unmute yourself. If you are accessing the call from the Tencent meeting, please click the raise hand button at the bottom left. For the benefit of all participants on today's call, please limit yourself to one question. If you have an additional one, please reenter the queue. If you ask the questions in Chinese, please we ask you to repeat in English. The first question comes from the line of Lily Anne from Morgan Stanley.
Lily Anne: Thank you very much. Thanks to the company for the presentation. I would like to ask the first question regarding the outlook for Q4 of this year and Q1 next year. From the presentation, I clearly noticed that the SVIP is progressing pretty well, especially based on the macroeconomic condition and the competition. Do you believe SuperVIP is going to continue to boost our performance growth? Especially, what would be your outlook for Q4 of this year and the full year of next year?
Cussion Pang: Thank you for your questions. I think this quarter's performance of TME once again testifies to the effectiveness of our high-quality growth strategy, which is shown by the balance of growth between our revenue, net profits, subscribers, and ARPU. For the midterm targets, our key priority is to continue to expand our paying user base. At the same time, our commitment to growing ARPU is stronger than ever, as proven by the strong initial results of our SuperVIP plan that you mentioned. We have already recorded over 10 million subscribers as of the end of September 2024. As you may recall, our business journey and strategy evolution is transitioning from paid downloads to streaming and upgrading our basic business membership to green diamond membership. This has given us a lot of insights and accumulated experience. We are now pushing the boundaries to explore more diverse music scenarios and add more high-quality content, product features, and user preferences to our new SuperVIP membership. We strongly believe that it will help us broaden our user base and deepen user loyalty. It is going to help us achieve healthy growth in the future. Last but not least, I would like to point out that we are now back on track to resume positive revenue growth in 2024. Looking into 2025, we are optimistic about our growth prospects. Assuming the external environment stays stable, we expect to see an acceleration in both top-line growth, mainly driven by the steady increase in the number of subscribers and ARPU, along with improved profits and operating margins.
Operator: Thank you. The next question comes from the line of Lincoln Kong from Goldman Sachs. Lincoln, please.
Lincoln Kong: Thank you, management, for taking my question. Congrats on the pretty solid quarter. My question will be on the member side. I think in the third quarter, we have a net add of 2 million new subscribers. That is actually better than we earlier expected or the company's earlier target. Could management share a bit more in terms of the reason behind it? And what are we thinking for the fourth quarter, as we just passed the Singles' Day? Could we have a bit more color in terms of the Singles' Day promotion intensity? How should we think about the fourth quarter's new subscriber growth, especially compared to the third quarter? Any color on user retention would be great.
Cussion Pang: Thank you very much. Thanks for your question. Yes, indeed, in Q3, the performance was better than expected. I think it is mainly because of our strategies. We still want to keep a very stable operational strategy starting from this year to now. At the same time, we also pay much attention to the ever-expanding privileges for the monthly subscribers. We are also continuing to stabilize the growth of the ARPU. In Q3, there were some festivals, especially the mid-autumn festival. We leveraged the campaign and marketing strategies to ensure we grow our subscriber base in a very healthy way. Regarding the marketing strategies, in Q4 of this year or Q1 of next year, we will keep a very tight control over the marketing as we seek healthy and steady growth of our business and retain the subscribers and users. More importantly, we want our users to know the true value of the subscription, especially the value of the content we provide to them. In that way, the user will stay with us and remain active on our platform. In terms of subscriber privileges, in addition to traditional content, we are also trying to further improve content quality. Besides content, we have done a lot to improve sound quality and sound effects. For example, we continued our good cooperation with DTS, and we also adopted Audio 3D to provide more privileges to our users. We piloted some attempts in the in-car and mobile end. We hope to provide good service and functionalities under the privilege to better improve the service to the subscribers. More importantly, to make them feel happy, especially recently, we also provided some affecting vocal privileges to the user. Overall, regarding our operational strategy for subscribers, we still want to take the traditional standard measures plus SVIP as a combo strategy. In that way, we can continue to improve the monetization efficiency of our platform. Regarding the basic users, we are trying to continue to improve the size of the subscriber base along with a very steady growth of the ARPU. At the same time, we also want to emphasize new user engagement and retention. More importantly, for SVIP, we hope to continue to promote the primary user from the subscriber to SVIP to further drive up the ARPU. Generally speaking, our SVIP size is still at a relatively nascent stage. We hope it can grow through healthy and stable growth in the near future, contributing to future ARPU improvement.
Operator: Thank you. The next question comes from Alicia Yap from Citigroup. Alicia, please.
Alicia Yap: Hi. Sorry about the technical issue. I think, Alicia, we will go back to you later. Can we go to Roger Dong from Barclays, please? Roger, your line is open.
Roger Dong: Thank you, management, for taking my questions. I have a follow-up also on the SVIP program. Now we are over 10 million as of the third quarter. I am trying to get a sense of how many of that was added during the quarter. How many were converted from the regular VIP program, or how many were from new users?
Cussion Pang: Thank you very much. Thanks for your question. According to the statistics, the majority of our SVIP users are still being upgraded from the traditional or basic VIP. We are also keeping an eye on new customer engagement. In response to your question, the majority of the existing SVIP users are still being promoted or upgraded from the basic VIP account. Interestingly, according to the user profile of SVIP, we noticed that many of them are young users. This indicates that our service and privileges provided to the users fit their interests and needs. At the same time, we are also keeping an eye on the user of the EV. We know that many EV users are indeed young users. We want to further extend the cross-device privilege to our SVIP users. Recently, we were also discussing combining SVIP with the Starlight Card to ensure they receive rewards and incentives from us. That is why we truly believe that in the next few years, our SVIP size still has ample room for improvement, which will also contribute to the ever-increasing ARPU.
Operator: Thank you. The next question comes from Chandler from Bank of America. Chandler, your line is open.
Chandler: Thank you very much. Thanks to the management team. I also have a follow-up question regarding SVIP and ARPU. First of all, we do see that the SVIP size continues to grow, reaching 10 million within this quarter, which is better than expected. However, it seems that ARPU is not performing as well, especially reflected in a single month of Q3. Could you kindly walk us through the reason and how you are going to balance user size growth along with ARPU growth? To the management team, how do you expect ARPU to perform in the near future? When are we going to see a very good response from ARPU?
Cussion Pang: Thank you very much. Thanks for the question. I have to say that our SVIP growth to 10 million did not happen overnight. We have been working on it for close to a year, starting everything from scratch. It is indeed a result of sustained efforts. Nowadays, we have already reached 10 million SVIP users. Regarding ARPU, it has been accumulated and performed continuously. In response to your question, at least from the model perspective, we believe when the SVIP size reaches 20 to 30 million, you will see more response from ARPU. In other words, it will be in line with the ever-increasing SVIP size growth. When the SVIP penetration continues to improve, it will also contribute more to ARPU. Until now, I think what you need to see is how the ARPU trend will continue. We are going to take ARPU as an independent factor and assess it on a quarterly basis. Just one more comment, especially within our 10 million SVIP, I have to say its ARPU is higher than our basic subscriber account.
Operator: Thank you. The next question comes from Ami Zuho from Fanway.
Ami Zuho: Thank you for taking my question. I just want to double-click on the 10 million SuperVIP milestone. By the way, congrats on the 10 million milestone. Can you share any color on the SuperVIP profile? You mentioned they tend to be younger users. Are we seeing more from QQ versus Kugou apps? You also highlighted some of the key drivers, for example, the premium audio quality and long-form audio offerings. I am curious if there is a way to rank them by effectiveness this quarter. Which area do you plan to focus on going forward to continue to drive conversion?
Cussion Pang: Thank you very much. Responding to the first part of the question, at least from our operations, around 10 million SVIP users, half are coming from QQ Music and half from Kugou. It is still in line with our high-value user operation strategy. As I mentioned in my presentation, we provide full privileges to SVIP users, including long-form audio, high-quality sound effects, and sound quality. We offer first enjoyment of digital albums and user experience for cross-device new experiences. Regarding additional privileges, as I have already mentioned, we provide backing vocals, and at the same time, we also provide ringtone editing on the Kugou app. We are also considering providing some physical materials. For example, if you are an SVIP with us, we can surely provide you with some paper flyers, like calendars of the songs. We are also planning the SVIP family package or family membership package because the family membership package has proven successful on video websites. We are considering referring this good practice to our SVIP business.
Operator: The next question comes from Wei Chung from UBS.
Wei Chung: Thank you very much. Thanks to the management team. I have a question regarding the social and entertainment business. For the social and entertainment business in Q3 of this year, revenue actually stood better than expected. The revenue decrease has also been narrowed down. Is it possible for the management team to elaborate on the reasons? Is there any specific measure you take to continue to improve the business? Especially, how are we going to look at Q4 and next year for the social and entertainment business? How might the growth rate be, and what would be its contribution to the total revenue?
Cussion Pang: Thank you very much. Thanks for your question. Regarding the social entertainment business, there are two platforms. I think good growth has been identified, coming from WeSing. On WeSing, besides the live streaming business, we also provide other businesses, for example, advertisement business on WeSing. Especially its subscription business and VIP business are all performing better than expected. Generally speaking, the better-than-expected WeSing performance continues to contribute to the revenue of the social entertainment business compared with last year. The second one is on Kugou. On Kugou, especially on Kugou Live and live streaming, we did a very good design over the interactive games. It is more like a card collection mechanism and play, which can help us further implement innovative play into the live streaming performance. That is why we believe its revenue was better than expected. I also believe that is why its total contribution to the revenue growth is better than expected. As we continue to solidify our middle desk for the live streaming service and register a very stable performance, we aim to ensure more functionalities can be swapped from one platform to another. In that way, I believe in the near future, the social and entertainment business will still have a very stable growth.
Operator: The next question comes from Sarah Sae. Maggie, your line is open.
Maggie: Thank you for taking my question. Our MAUs seem to have stabilized around 570 million in the past four quarters, and they actually added 5 million in Q3. Could management share with us the priority in your latest MAU strategy? Shall we expect MAU to return to any growth at some point? How shall we think about future opportunities from deeper integration into the WeSing ecosystem?
Cussion Pang: Thank you very much. Thanks for the question. Regarding our MAU strategy, I think the key still rests with the content, especially our self-commissioned content. The unique content continues to drive up the MAU. Especially today, I mentioned working with celebrities and artists to launch albums. At the same time, the content is displayed on different terminals. In that way, we also have self-made hits. Hosting high-quality content continues to drive up the MAU. That is the strategy for us to continue to improve MAU growth. From the product or functionality perspective, for the past year, we continue to optimize the play experience and provide more innovative actions for inactive users. That can help us further retain users and continue to grow the MAU. Especially, I was mentioning that MAU on the terminal end has been pretty helpful. On QQ Music, we find that promotion marketing over ROC really works, and it has proven feasible. That is why it can also help drive up the MAU. That is why we also want to copy the successful strategy to Kugou. At the same time, I want to say that in-car DAU and IoT have proven to be growth drivers in the near future, especially for the in-car business. I think a great opportunity is there. Besides Kugou and the concept version and Polkadot, we hope to work on it to keep in line with new apps to further contribute to the growing MAU. Regarding the second part of the question, how we are going to keep an eye on Listen to WeChat, we believe Listen to WeChat is a great platform with very good reps. Strategically speaking, we are going to help Listen to WeChat gain better growth. I think its business size looks okay, and I hope in the near future, it could also be an active platform and continue to lay a solid foundation for our self-commissioned content in the near future.
Operator: Thank you. In the interest of time, we will take the last question from Thomas Chong from Jefferies. Thomas, your line is open.
Thomas Chong: Hi. Good evening. Thanks, management, for taking my question. My question is about operating expenses as well as margin trends. Given that we already exceed 40% in terms of our GP margin, I just want to get some more color regarding our 2025 and our long-term outlook on margin trends. What are the key areas where we can gain further efficiency on our cost side? On the OPEX side, how should we think about S&M expenses going forward and our non-IFRS earnings growth going forward?
Shirley Hu: Thank you very much. Let me talk about the GP margin first. In Q3, our GP margin stood at 42.6%. We registered continued growth for a few quarters. I am talking about a few drivers. The first driver is the ever-increasing revenue from the music business and the growing user base. Our ARPU and the rapid growth from the advertisement business all positively contribute to the GP margin. The second reason is that we adopt ROC in managing the cost, so the cost on copyrighted content, especially the content cost growth, is actually lower than our music revenue growth. The third priority is that we have more contribution from self-commissioned content and co-created content, which also positively contribute to the GP margin. Regarding the social business, you can see we also took some better strategies, and we continue to reduce the percentage of the live streaming share. At the same time, the growth in WeSing's VIP revenue and advertisement growth also contribute a lot to our social revenue margin improvement. Looking into Q4 of this year and 2025, I believe some factors mentioned above will still play very important roles. Regarding the GP margin, besides good improvement, I think in 2025, the growth rate might be lower than what we saw in 2024. Regarding operating expenses, we foresee that in 2025, S&M expenses and G&A expenses will grow slightly, but their growth rate would be much lower than our revenue growth. I believe that in 2025, the adjusted net profit and the adjusted net profit rate should have good growth momentum. You also asked about the effective tax rate. From the operational perspective, we believe the effective tax rate will remain unchanged. For this year, because we have many dividends that have been sent from the onshore companies to the offshore, it generated mainly withholding tax, which makes our effective tax rate look high. Looking into next year, we may still have a similar dividend program, and we are also going to have measures in place. However, regarding the total size of the dividend, that has not yet been confirmed.
Operator: Thank you, everyone, for joining today. If you have any further questions, please feel free to contact our IR team. This concludes today's call. Thank you again, and we look forward to speaking to you next quarter.
Cussion Pang: Thank you very much.
Ross Liang: Thank you.
Shirley Hu: Thank you.
Nao Sinhteu: Thank you. Bye.